Operator: Hello, everyone, and welcome to the Jackson Financial, Inc. 2Q 2025 Earnings Call. My name is Charlie and I'll be coordinating the call today. [Operator Instructions] I now hand the call over to our host, Liz Werner, Head of Investor Relations at Jackson Financial to begin. Liz, please go ahead.
Elizabeth Ann Werner: Good morning, everyone, and welcome to Jackson's Second Quarter 2025 Earnings Call. Today's remarks may contain forward- looking statements, which are subject to risks and uncertainties. These statements are not guarantees of future performance or events and are based upon management's current expectations. Jackson's filings with the SEC provide details on important factors that may cause actual results or events to differ materially. Except as required by law, Jackson is under no obligation to update any forward- looking statements if circumstances or management's estimates or opinions should change. Today's remarks also refer to certain non-GAAP financial measures. The reconciliation of those measures to meet the most comparable U.S. GAAP figures is included in our earnings release, financial supplement and earnings presentation, all of which are available on the Investor Relations page of our website at investors.jackson.com. Presenting on today's call are our CEO, Laura Prieskorn and our CFO, Don Cummings. Joining us in the room are our President of Jackson National Life Insurance Company, Chris Raub; our President of PPM, Craig Smith; and Head of Asset Liability Management, Brian Walta. At this time, I'll turn the call over to our CEO, Laura Prieskorn.
Laura Louene Prieskorn: Thank you, Liz. Good morning, and welcome to our second quarter 2025 earnings call. I'll begin by reviewing the quarter's performance, including our solid operating and sales results, continued capital generation and return to shareholders and our significant progress toward achieving our 2025 financial target. Following my remarks, our CFO, Don Cummings, will discuss our financial performance in further detail. Beginning with Slide 3. Jackson's second quarter performance highlights the health of our business and strong capital position. Our Retail Annuities business benefited from our growing RILA product suite, resulting in greater investment spread income and valuable earnings diversification for the quarter. RILA account balances have increased by nearly 80% from the second quarter last year and 26% since year-end 2024, supporting sustainable investment spread income. The relative stability of spread income enhances Jackson's earnings overall and provides diversification that is especially valuable during periods of market volatility. Traditional variable annuities remain a core product offering accounting for over half of our retail annuity sales and our in-force book generates more than $1 billion in quarterly fee income. The impact of lower average variable annuity assets in the second quarter was in part offset by investment spread income growth. Variable annuity account balances increased during the quarter with account values reaching $239 billion at the end of the second quarter, up from 2024 year-end. Total Retail Annuity sales $4.4 billion in the second quarter, representing a 9% increase over the first quarter and a 4% increase year-over-year. This growth was driven by sequential gains in both RILA and fixed annuity sales. RILA sales approached $1.4 billion, up 16% from the previous quarter and roughly flat compared to the prior year levels. Notably, RILA sales momentum has continued and is supported by the launch of Jackson's Market Link Pro III and Market Link Pro Advisory III, which offers a NASDAQ 100 Index option and full principal protection options. RILA now accounts for nearly 1/3 of total Retail Annuity sales, underscoring Jackson's leadership in meeting the growing demand for solutions that offer participation in equity market growth with downside protection. Jackson's fixed annuity sales are consistent with our focus on offering a competitive product suite, while adhering to our pricing discipline. In the second quarter, the attractiveness of our spread products benefited from our recent allocation of resources to certain higher-yielding asset classes including emerging markets, residential home mortgages and structured securities of investment-grade assets. We will maintain a disciplined approach to this market and see future growth potential as we broaden our fixed index annuity product offering and further expand our market reach. Variable annuity sales in total continued to be strong and were relatively flat for the first half of 2025. However, we have seen a 16% increase in sales of variable annuities without a lifetime benefit in the first 6 months of this year compared to the same period last year. These products provide access to attractive investment options as well as valuable tax and estate planning benefits. Additionally, we continue to believe that the asset growth potential, investment flexibility and guaranteed income provided by Jackson's traditional variable annuities meet a long-term need for millions of Americans retiring each year. Jackson's traditional variable annuity book delivers strong profitability underpinned by prudent product design, conservative assumptions and disciplined risk management, areas that Don will discuss in greater detail. Importantly, we saw variable annuity net outflows improve for the second consecutive quarter and return to 2023 levels. As a result, total retail annuity net outflows were $2.2 billion in the second quarter, down 27% from a year ago and down 39% from the first quarter. This emerging trend, combined with the second quarter's positive separate account performance and increasing sales diversification positions us well for favorable retail annuity account value comparisons. In addition to our innovative approach to product design, we remain focused on delivering industry-leading service and bringing enhanced tools to the market. Our recent launch of a new digital experience for financial professionals is the latest example of our ongoing investments in service and technology. Considering input from financial advisers, we created a digital tool to align clients' needs with the benefits and features of multiple products. The site also includes a wholesaler contact resource to facilitate new adviser relationships and is designed to deliver tailored support. These initiatives and our commitment to delivering exceptional service highlight our long-term dedication to our business, distribution partners and clients. In July of this year, Jackson was once again recognized in Barron's Annual 100 Best Annuities Guide. Jackson had 3 products featured across 5 categories this year, including our Elite Access Advisory II variable annuity and our Jackson Market Link Pro RILA Suite, which was highlighted 7x as a leading product, providing valuable market protection for policyholders. Our long-standing commitment to product innovation has resulted in differentiated annuity solutions that are highly valued by our distribution partners and their clients. We ended the second quarter in a strong capital position with even greater financial flexibility. Total adjusted capital exceeded $5.3 billion, up from the first quarter this year and a 5% increase since year-end 2024. Risk-based capital remains comfortably above our 425% target minimum and is estimated at 566% as of the end of the second quarter after investing in our business and distributing $325 million to our holding company. Excess capital generation and free cash flow during the first half of this year have both exceeded a $1 billion annualized run rate. Our second quarter capital return of $216 million extends our track record to 15 quarters of continuous return to shareholders. We remain confident that our strong and sustainable capital generation will continue to support both future growth initiatives and ongoing capital return to shareholders. Turning to Slide 4. We've made significant progress towards achieving our capital return target with $447 million in share repurchases and common shareholder dividends through the first 6 months. This is a 41% increase from last year and shows that we're on track to meet or exceed our targeted range of $700 million to $800 million. Our holding company liquidity of over $700 million provides additional financial flexibility and should position Jackson for continued capital return beyond 2025. In addition, we continue to view a cash dividend as a reliable and sustainable means of returning capital to shareholders. Consistent with this long-term focus, our Board recently approved a third quarter cash dividend of $0.80 per common share. Jackson remains committed to a balanced capital management strategy that prioritizes disciplined investments in our business, the maintenance of a strong balance sheet, and consistent capital return to shareholders, all with the objective of creating long-term value for our stakeholders. Our resilient capital, disciplined risk management and effective hedging strategy have enabled us to manage market volatility with confidence. In today's environment, the need for financial security and retirement has never been more apparent. Financial advisers are increasingly recognizing the value of annuities as essential tools for delivering the security to their clients. Jackson's commitment to the annuity market, providing flexible protection and income-oriented solutions continues to be highly valued. We remain dedicated to supporting our distribution partners and helping their clients achieve greater financial confidence and retirement. With that, I'll turn the call over to Don.
Don Wayne Cummings: Thank you, Laura. I'll begin on Slide 5 with our consolidated financial results for the second quarter of 2025. Adjusted operating earnings were $350 million, reflecting strong performance from our spread products where earnings were supported by the continued expansion of our RILA and fixed annuity blocks and higher yields in our bond portfolio. While fee income was lower this quarter due to market volatility in April, it is encouraging to note that variable annuity AUM rebounded and ended the quarter higher as markets recovered, positioning us well for the third quarter. The comparison to the second quarter of 2024 was also impacted by a reserve release benefit in that prior year quarter. Our high- quality conservative investment portfolio supporting the spread product business is well positioned with diversification and strong credit quality, a theme throughout the portfolio. The exposure of our portfolio to commercial office loans and below investment grade securities is less than 2% and 1%, respectively. As Laura mentioned, our spread product sales benefited from added capabilities at PPM America, which enabled recent new money allocation to certain higher-yielding asset classes, including emerging markets, residential home mortgages and investment-grade structured securities. We believe this modest shift in our new money asset allocation will allow Jackson to maintain a stable presence in the spread product marketplace. Before discussing notable items for the quarter, I want to highlight our strong performance in book value per common share. During the first half of the year, we returned $447 million of capital to common shareholders, which contributed to $102 million decrease in adjusted book value attributable to common shareholders since year-end. Importantly, our share repurchase activity reduced the diluted share count driving a 3% increase in book value per diluted share to $155.11. Additionally, our adjusted operating return on common equity for the first half of the year was 13%, in line with the healthy level achieved in the first half of 2024. Slide 6 outlines the notable items included in adjusted operating earnings. Reported adjusted operating earnings per share was $4.87 for the current quarter. Adjusting for $0.33 of notable items and the difference in tax rates from our 15% guidance, adjusted operating earnings per share was $5.12 for the current quarter, up 5% from $4.87 in the prior year second quarter. This improvement was primarily due to the growth in spread income noted earlier as well as a reduction in diluted share count from common share repurchase activity. The only notable item for the current quarter was a $0.33 negative as limited partnership results came in below our 10% long-term assumption. The prior year second quarter included a $0.06 benefit from this item and also included a onetime reserve release benefit of $0.31. On Slide 7, we highlight the strong and diverse new business profile of our Retail Annuities segment, which achieved 4% growth over the second quarter of 2024. Our RILA product delivered robust sales of $1.4 billion, broadly consistent with the prior year second quarter and increasing 16% compared to the first quarter of this year. Since its launch in 2021, RILA assets under management have grown consistently, reaching a record high of nearly $15 billion at the end of the second quarter. As mentioned earlier, our spread product offerings were further supported by enhanced capabilities at our asset manager, PPM America, resulting in $470 million in fixed and fixed index annuity sales for the second quarter. Our sales mix remains capital efficient, which has provided flexibility to allocate additional capital to spread products as we continue to diversify our business. We are proud of the progress we have made in building a well-diversified new business mix since becoming an independent public company, positioning us for continued momentum. Turning to net flows. The sales we generated in RILA and other spread products translated to $1.7 billion of nonvariable annuity net flows in the second quarter. As we discussed on prior calls, Variable annuity net outflows have been elevated in recent quarters, reflecting the moneyness profile of our book, the aging of policyholders and some larger past sales years coming out of the surrender period. Encouragingly, this trend has improved in 2025 with the all-in surrender and benefit rate, including partial withdrawals and death benefits, declining by 240 basis points from the fourth quarter of 2024. This resulted in an improvement in variable annuity net flows of about $900 million compared to the first quarter of 2025. Slide 8 highlights pretax adjusted operating earnings across our segments. In Retail Annuities, we benefited from a favorable environment for spread products and lower operating expenses. While fee income was impacted by a temporary decline in average variable annuity AUM, our underlying business fundamentals remain strong. Jackson's earnings power is supported by the level of assets under management as growing nonvariable annuity net flows and strong separate account returns have built our average retail annuity AUM to $249 billion, up from year-end 2024. For the Institutional segment, pretax adjusted operating earnings were down from the second quarter of last year, reflecting lower spread income and were broadly in line with the first quarter of this year. Our higher level of new business activity in 2024 has continued into 2025, reflecting strong demand for spread lending and our opportunistic approach in the institutional marketplace. Our Closed Block segment reported pretax adjusted operating earnings that were down from the second quarter of last year, primarily due to an unfavorable comparative impact from policyholder benefits and cash flow assumption updates. Slide 9 includes a waterfall comparison of our first quarter pretax adjusted operating earnings of $406 million to GAAP pretax income attributable to Jackson Financial of $183 million. Our hedging program reported a consolidated net hedge gain of $61 million in the second quarter, demonstrating resilience despite elevated market volatility in April. The stability in our nonoperating results has significantly improved after moving to a more economic hedging approach in 2024, which has also contributed to our consistent capital generation. Our hedging program benefits from a robust and stable stream of guaranteed benefit fees, which are assessed on the benefit base rather than account value. This methodology ensures consistent fee generation even during periods of market decline. In the second quarter, guaranteed fees reached nearly $800 million, contributing to a strong total of $3.1 billion over the trailing 12 months. During the second quarter, our hedge results included a net loss of about $1.8 billion on hedging assets supporting our variable annuity and RILA business. This loss was primarily from equity hedges, reflecting S&P returns of about 10% during the quarter and losses on interest rate hedges resulting from higher long-term interest rates. Changes in market risk benefits or MRB, were driven in part by the same interest rate and equity market movements, leading to a $2.2 billion gain, which more than offset the hedging assets loss. As a reminder, changes in the MRB relate primarily to our variable annuity business and include the impact of equity index implied volatility, which was a modest benefit during the quarter. Changes in implied volatility do not impact our Brook Re MRB measurement since its modified GAAP methodology uses a fixed volatility assumption designed to promote balance sheet stability. The reserve and embedded derivative loss of $1.1 billion during the second quarter primarily reflects increases in RILA reserves resulting from higher equity markets. Our RILA business continues to provide an economic offset to the equity risk of our variable annuity guarantee business, enhancing overall hedging efficiency. We believe these second quarter results underscore the effectiveness of our hedging program in supporting capital stability and proactively managing the economic risks of our business. Slide 10 provides an updated perspective on Jackson's high-quality variable annuity business, building on themes first introduced at our 2021 spin-off. Jackson's variable annuity business is differentiated in the marketplace, which has enabled us to outperform peers. In large part, our success can be attributed to our focus on withdrawal benefits and avoiding more challenging guarantee features. Jackson also has long been a proponent of providing customers with investment freedom without forcing allocations or managed volatility funds. This approach is supported by a rigorous fund manager diligence and oversight process to ensure a high correlation between separate account assets and the related benchmarks. The strong underlying fund performance benefits both our policyholders and Jackson. Prudent pricing and disciplined product design further mitigate risk and enable agile product launches and repricing actions as market conditions evolve. As Laura noted, we believe our variable annuity products are highly valued, and we remain a consistent product provider for our distribution partners and their clients. The substantial cash flows generated by our large in-force block combined with extensive policyholder experience data, enhance our risk management capabilities. With the formation of Brook Re, we can further protect our book from market volatility and hedge more closely to the economics of our business. We believe our hedging performance has been proven through recent periods of financial strength. Overall, we remain confident in the quality of our variable annuity business and our risk management capability. Slide 11 highlights our capital generation and free cash flow for the quarter. Jackson adheres to an earn it than pay it philosophy for capital return. This philosophy is built upon 3 pillars; the generation of free capital where we earn it, the creation of free cash flow where we pay it and ultimately, the return of capital to our common shareholders. After-tax statutory capital generation was $443 million in the second quarter. We believe this metric offers helpful insight into the underlying strength of our business and provides the foundation for making capital allocation decisions that balance future growth with the return of capital to shareholders. Free capital generation was $258 million in the quarter, reflecting the estimated change in required capital or CAL, resulting from our strong and diversified new business results during the quarter. Free capital generation totaled $665 million in the first half of this year and $1.5 billion on a trailing 12-month basis, a pace well above our $1 billion-plus expectation for the full year. Free cash flow grew substantially in the current quarter, once again illustrating the stability of our capital generation. In the second quarter, $325 million were distributed to the holding company. After covering expenses and other cash flow items, the resulting free cash flow at the holding company was $290 million in the quarter. Over the last 12 months, we've distributed over $1.1 billion to the holding company and generated free cash flow of over $1 billion. Based on Jackson's market capitalization at quarter end, we have produced a free cash flow yield of about 16% for the trailing 12 months. Although there are many factors that impact valuation, we believe this metric is a strong indicator of Jackson's value, and we will continue to pursue share repurchases, while investing in the growth of our business. The outcome of our strong free capital generation and growing free cash flow allowed us to return $216 million to common shareholders in the quarter, up 60% from last year's second quarter on a per diluted share basis. On a trailing 12-month basis, we have returned $762 million and we are highly confident in our ability to meet our full year capital return target, likely coming in, at or above the high end of the range. Overall, these results reinforce Jackson's strong capital generation profile and stable growing cash distributions driving enhanced value for our shareholders. Slide 12 summarizes our growing capital and liquidity position for the quarter. The profitability of our in-force business, driven by fee income from our variable annuity based contract in growing spread-based earnings provided statutory capital generation of $443 million during the second quarter. Following the establishment of Brook Re, our capital position and RBC ratio at Jackson National Life is much less sensitive to equity market movements. The main impact of equity market changes is on AUM and future capital generation rather than immediate changes in capital for RBC. This results in the earnings stream at Jackson National Life being more like an asset management business. Consistent with our approach of taking smaller periodic distributions from Jackson National Life, we distributed $325 million to the holding company during the second quarter. After considering the impact of this distribution on our deferred tax asset, Jackson's total adjusted capital, or TAC, increased and ended the quarter at $5.3 billion. Required capital at Jackson National Life has continued to remain relatively stable as was apparent in our second quarter results with estimated CAL somewhat higher, reflecting growth in our general account assets and our strong and diversified new business activity. Our estimated RBC ratio ended the quarter at 566% and remains well above our minimum of 425%. We believe Jackson is operating from a position of strength as we head into the last half of the year. During the second quarter of 2025, Brooke Re continued to operate as expected despite elevated levels of market volatility early in the quarter. Overall, equity of Brooke Re was broadly flat during the second quarter and increased for the first 6 months of the year. Brooke Re's capitalization remains well above our internal risk management framework, which reflects a variety of detailed scenarios and our regulatory minimum operating capital level. During earlier calls, we committed to sharing any capital contributions to or distributions of capital from Brooke Re, and we can confirm that we did not take either of those actions with Brooke Re during the quarter. Going forward, we will continue to manage Brooke Re on a self-sustaining basis, given the long-term nature of its liabilities. Our holding company cash and highly liquid asset position at the end of the quarter was $713 million, which continues to be above our minimum buffer and provide substantial financial flexibility. This was up from $617 million in the first quarter of 2025, reflecting operating company dividends and capital return to shareholders. Including other holding company investments increases the total to $767 million. Overall, our second quarter results reflect positive momentum, including a strong balance sheet and growing levels of capital and liquidity which position us well for continued success. I'll now turn the call back to Laura.
Laura Louene Prieskorn: Thank you, Don. Our second quarter results represent continued strong progress, and we look forward to sharing future updates as we advance our strategic objectives. We remain steadfast in our commitment to supporting financial professionals and their clients with a common goal of helping Americans grow and safeguard their retirement savings and income. Lastly, but importantly, I want to acknowledge the exceptional dedication and talent of our associates whose contributions are fundamental to our ongoing success. At this time, I'll turn it over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Alex Scott of Barclays.
Taylor Alexander Scott: First one I had is just on your excess capital position and cash flow and potential uses of capital, I mean, at this point, you've got such a strong excess capital position. You're sort of taking up so much free cash flow to the Holdco, you're not using it all for share repurchases. So the excess is building even further. And just in light of that situation, I wanted to better understand, like, as you look at this capital position what is the pecking order for priority for potential upsizing capital return or M&A.
Laura Louene Prieskorn: Alex, thank you for the question. I'll turn it to Don to get to your question specifically. But as you heard Don shared in his prepared remarks, our approach is to first generate or earn excess capital and then pay it in the form of free cash flow and then return capital to shareholders that will continue to be our philosophy going forward, and I'll let Don address more specifically your question.
Don Wayne Cummings: Yes. Alex, thanks for that question. So first of all, I would just reiterate that we have, in fact, had a very strong and kind of consistent level of operating company dividends coming up to the holding company, and you can see that in our cash and liquid investment position. If you look back since the separation from Prudential or since the IPO, that's totaled about $2.6 billion, which has actually exceeded our initial market capitalization. So -- we do think that we'll continue to have a very strong level of capital generation. In terms of your question on how we would expect to use that, we continue to look at that on a balanced basis. So we believe that we can continue to support maintaining the strength of our balance sheet while also investing in the growth of our business and returning capital to shareholders. We don't think this is a one or the other situation. We think we can do both. And I think you've seen that in the results we produced for the second quarter.
Taylor Alexander Scott: Got it. That's helpful. And then the second question, I just wanted to ask on the AUM level and just the equity market heading into the back half of the year. How would you expect that to kind of flow through to your earnings? Like how much of the expense base is variable versus fixed? Would you expect margins to improve out of that? Or are there may be some offsets to think about related to investment in the business and so forth?
Don Wayne Cummings: Yes. Thanks, Alex. So in terms of the kind of the equity market performance for the quarter, it was quite strong. If you look at our roll forward of AUM for the quarter. We saw a roughly 9.4% return on our separate account assets, which contributed about $19 billion to AUM, and that far offset some of the net outflows that we're seeing primarily due to our VA business. Just to get your question in terms of how we would think about that for the last half of the year, we continue to have pretty solid margins. Our fixed expenses in terms of our general and administrative expenses are not going to be that sensitive. We do have some other components of the P&L, which include some asset-based commissions and the like that do have some market sensitivity, so there will be a little bit of offset in that.
Operator: Our next question comes from Tom Gallagher of Evercore.
Thomas George Gallagher: Just a sort of a strategic question on -- is there any consideration to remixing the business when -- and it's kind of slowly happening already from the mix shift that's happening on the sales side. But anything that you would consider on something more strategic on legacy VA risk transfer, maybe lowering the reliance on shorter-term hedges for the VA or anything else that you would consider? Or would you say you're broadly happy with the structure you have today? And just thinking specifically about lowering your cost of capital, given your lower valuation versus peers.
Laura Louene Prieskorn: Tom, thank you for this question. I'll share a couple of comments given the range of topics that you covered there and then turn it to Don. In terms of risk transfer, I'll say, if there is a good strategic partnership opportunity that would makes sense from a shareholder value perspective, we would certainly give consideration to that opportunity. You commented on the diversity that we're seeing in our sales mix and our multiproduct portfolio does position us well to serve a range of market environments and client needs, and we're going to continue to focus on product innovation to create greater access across those different annuity types going forward. I'll turn it to Don to comment on some of the other points that you included in your question.
Don Wayne Cummings: Yes. Thanks, Tom. So I'll take the risk transfer question, and then I'll ask Brian to jump in on the hedging. But First of all, just in terms of the way we would look at any sort of transaction, whether it's risk transfer or M&A, the goal for us would be to create new streams of capital generation so that we can continue to grow our free cash flow and how that impacts our ultimate capital return. So that's kind of the way that we look at it. In terms of risk transfer transactions, if you look back on Jackson's history, we've not only evaluated but completed a number of multiple complex reinsurance transactions. And we're open to considering any transaction that is strategic in nature and creates additional shareholder value. So obviously, it's going to need to be accretive to future profitability and capital generation. Some of -- a couple of examples of things that could potentially relate to the risk transfer transaction. As you mentioned, we have been diversifying our business mix with more of a focus on spread products. Certainly, there are opportunities to utilize captives to help manage some of the capital usage of those types of products. And we would certainly are exploring those opportunities. And also that could include some type of asset management partnership that might be additive to the capabilities that we already have in-house with PPM. And so that's just a couple of examples on risk transfer. I will turn it over to Brian just to touch on your point about hedging and kind of the short-term nature of some of our hedging instruments.
Brian Michael Walta: Yes. Thanks, Tom, for the question on hedging. So just with the move to Brooke Re and a more economic stable and predictable hedge target, a significant portion of our equity interest rate hedge program is now based on exchange traded futures rather than over- the-counter options. And these exchange rate features have much lower roll risk relative to exchange-traded options, which are -- can be sensitive to the implied volatility environment. These futures are highly liquid and can be traded in any market environment. Now with that said though, we do have a normal position of put options, which help to mitigate GAAP risk and rebalancing risk in high volatility periods to what we saw and experienced in April. And we'll tweak the characteristics of those options to mitigate the cost and high volatility regimes. These maturities are spaced out to try to reduce roll risk concentration. And as implied volatility comes down, we do tend to extend the duration of those trades. And I'll note that on a daily basis, we aim to cover our equity and interest rate exposure regardless of the market environment or the volatility regime will by the hedges we need to. We look at both small and large market shocks on our liability to achieve the right balance between futures and options. And based on our current liability profile, we feel our approach predominantly using futures and supplementing with options, matches our economic liability profile well and provides meaningful sales protection.
Thomas George Gallagher: Okay. Just one quick follow-up. The RILA product you're selling today, does that have a living benefit and income guarantees on the majority of that? Or is that investment only? And how do you see competition in that part of the market?
Laura Louene Prieskorn: Yes. Thank you, Tom. Our RILA momentum is strong since launch in 2022. I think I'll ask Chris to just comment on RILA sales in the second quarter and then outlook as we have been watching that market evolve.
Christopher Allen Raub: Thanks, Laura. And Tom, thanks for the question. The RILA market certainly can be competitive from quarter-to-quarter. But as Laura noted in her opening remarks, RILA sales for us increased 16% sequentially. This compares to industry sales of about 13% over that time -- same time period. We believe we have a competitive product offering, including an income option with a compelling suite of options for advisers and policyholders. In addition, the strength of our distribution team and our industry-leading service position us well to participate in the robust growth we've seen in the RILA market over the last 3 years. We also saw strong momentum leading into the third quarter following the launch of our Market Link pro III product, which offers the NASDAQ 100 Index option as well as 100% protection buffers for our 1-, 3- and 6-year term. As Laura said, RILA now represents just over 30% of our sales and nearly 1/3 of our RILA sales are now coming from advisers that are either new to Jackson or that haven't sold a Jackson product in a while. It remains a core part of our diversified product offering that delivers a complete suite of annuities to our distribution partners, which allows our wholesalers to focus on providing solutions to their client needs, be it income protection, growth potential, tax and risk management or legacy benefits. We want to have products that deliver value across any market or consumer preference environment.
Operator: Our next question comes from Suneet Kamath of Jefferies.
Suneet Laxman L. Kamath: First, just a quick follow-up on RILA and the answer you just gave. So this new product that offers 100% principal protection. I had thought that one of the things that made the RILA more capital efficient is that it didn't have principal protection and that the downside was sort of shared with the consumer. So maybe just want to understand that a little bit more? And is this a relatively unique feature in the market versus kind of what your competitors are offering? And how do the capital requirements associated with this 100% principal protection compared to some of the other RILA that you offer?
Don Wayne Cummings: Suneet, it's Don. I'll take that question. So in terms of capital efficiency, the new RILA product is -- remains very capital light in terms of requirements. And so we're comfortable with that. The feature itself is one that is offered by a number of our competitors. So it's not entirely a new feature. It's new for Jackson but not new in the industry.
Suneet Laxman L. Kamath: Okay. And then I guess on the -- you mentioned this also in your prepared remarks, I just wanted to come back to it. Are you managing or risk managing the RILA sort of together with the legacy VA? And the reason I ask the question is another one of your company competitors has talked about doing that, and they sort of ran into some issues once they got to this "balanced risk profile" across the 2 blocks. So I just want to make sure that I get a better sense of kind of how you're approaching the 2 -- the risk management of those 2 blocks of business.
Don Wayne Cummings: Yes, Suneet, it's Don again. So good question, and thanks for that. So we -- at Jackson, we do manage both blocks of business separately. I think the thing that we referred to in the prepared remarks is really the sort of natural offset in equity risk that the 2 products have. That does create some efficiency as we go out to purchase external hedges for our hedging program. But the products themselves are not managed together, like you were mentioning some other companies may do. In fact, all of the guarantees related to our VA business, as you know, for withdrawal benefits are reinsured to Brooke Re rate, while the RILA business remains at Jackson.
Suneet Laxman L. Kamath: Got it. And if I could just sneak one more in, just on Brook Re. Do you think you'd be able to use that structure if you were to pursue inorganic growth, i.e., acquire a VA company? Could you sort of slot that block of business into Brooke Re.
Don Wayne Cummings: Yes. I guess we'll let you have another one. So yes, we do believe that there could be opportunities to leverage Brooke Re further with some type of M&A type transaction. And as we think about M&A, we've, I think, demonstrated that Brooke Re is operating effectively, and we've got certainly a much more predictable and stable capital generation profile. So that does give us some optionality in how we deploy our capital across both share repurchases and growing our business. So we would consider M&A part of growth. In terms of the types of transactions that we might consider, I think they would fall into 1 or 2 categories. One would be just leveraging our existing strengths. We've got a strong risk management culture at Jackson, and we've demonstrated that through the performance of our variable annuity business. We also are very strong in RILA. RILA is now about $15 billion of AUM as of the end of the second quarter. And I think the other thing that we would probably consider in terms of any kind of M&A activity would be how we could further accelerate diversifying our business. As we talked about earlier, we've been doing that very much through our new sales and kind of shifting the mix there. If there were an opportunity to do something like that, more broadly through M&A, we would consider that. And all of our -- any M&A type activity that we would consider obviously, we would look at that through the lens of that versus returning capital to shareholders.
Operator: Our next question comes from Ryan Krueger of Keefe, Bruyette, & Woods.
Ryan Joel Krueger: I had some follow-ups. One was you mentioned that you could use captives to reduce the strain from increased sales of fixed and fixed indexed annuities. When you mentioned that, were you referring to potentially setting up like a new affiliated reinsurer that would be separate from Brooke Re and that could be used to put some of the new business into.
Don Wayne Cummings: Yes, that's exactly what I was referring to, Ryan. We think we've been very successful with Brooke Re and we obviously observed what some of our competitors have done in terms of using Bermuda and other offshore locations. That could be a possibility. We would also look very strongly at what we could do on a domestic basis. But yes, it would be to be able to have a captive that we can see spread business to.
Ryan Joel Krueger: And then I guess somewhat related to this, but -- so I guess, in terms of looking to diversify the business, you -- outside of just organic growth. So I guess, are you suggesting that you would be, I guess, consider being a reinsurer for spread business in the market? I assume you don't need a strategic M&A transaction because you already have the capabilities in distribution. So I think I just wanted to make sure I understood that correctly that you'd potentially consider being a reinsurer for spread business in the market, there was an opportunity.
Don Wayne Cummings: Yes. So I think as I said in response to the earlier question, it could be that we would look at using Brooke Re to acquire other blocks of business that might be additive in terms of our capital generation and free cash flow in the future. And that likely probably in our case, would not include spread type business. But if there are life blocks or other blocks of business that would be complementary to our VA guarantee business, that's something that we could consider.
Operator: At this time, we have no further questions. I'll hand back over to the CEO for any final comments.
Laura Louene Prieskorn: Thank you for your continued interest in Jackson. As you've heard this morning, our latest results show the strong momentum we have going forward. We'll continue these discussions and share our progress toward our 2025 targets after the third quarter. Thank you, and take care.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.